Operator: Ladies and gentlemen, thank you for standing by and welcome to the CONSOL Energy and CNX Gas fourth quarter 2008 earnings release. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Senior Vice President of External Affairs, Tom Hoffman. Please go ahead.
Tom Hoffman: Good morning, everyone, and welcome to our first joint earnings call with CONSOL Energy and CNX Gas. With me this morning are Brett Harvey, Chief Executive Officer of CONSOL Energy and Chairman and CEO of CNX Gas, Bill Lyons, Executive Vice President and Chief Financial Officer for both companies. This morning we will be discussing fourth quarter and full year 2008 results for both companies. In addition, we will be discussing our views on the outlook for 2009. Any forward-looking statements we may express or our expectations for business results, actual results, as you know, are subject to business risk and we have enumerated those risks in both earnings releases issued this morning and in our SEC 10-K filings. In addition, the United States Securities and Exchange Commission permits oil and gas companies in their filings with the SEC to disclose only proved reserves that a company has demonstrated by actual production or conclusive formation test to be economically and legally producible under existing economic and operating conditions. We may use certain terms in this conference call such as unproven resources or reserves, which SEC guidelines strictly prohibit from including in our filings. We also caution you that the SEC views such unproved resource or reserve estimates as inherently unreliable and that these estimates may be misleading to investors, unless the investor is an expert in the gas industry. With that, we will begin our remarks and then take questions. We will begin with Bill Lyons. Bill?
Bill Lyons: Thank you, Tom. And let me also welcome everyone to the joint CONSOL Energy and CNX Gas earnings conference call. It is my pleasure this morning to announce record annual financial results for CONSOL Energy. Net income for $442 million is a record. Operating cash flow of $1.029 billion is a record. And EBITDA of $1.075 billion is a record. I cannot think of three better financial metrics in which to have record setting performance. This past year illustrated the financial power of being a diversified energy company. Let me highlight some of our fourth quarter and 2008 financial results. CONSOL Energy reported net income of $176 million or $0.97 per diluted share for the fourth quarter of 2008 compared with net income of $7 million or $0.04 per diluted share in the fourth quarter of 2007. Net cash from operating activities was $346 million compared with $88 million in the fourth quarter of last year. As I mentioned earlier, for the full year CONSOL reported net income of $442 million or $2.40 per diluted share versus $268 million or $1.45 per diluted share for the full year of 2007. This is an increase of 65%. Net cash from operating activities was $1.029 billion for 2008 versus $684 million last year. This is an increase of 50%. From a financial standpoint, the fourth quarter was outstanding for both coal and gas. For our coal segment, our total margins for the fourth quarter were $12.35 per ton, an increase of $6.81 per ton over the fourth quarter of 2007. This margin expansion is the key driver in our step change in profitability. Average realized pricing for produced coal was approximately $52 a ton for the fourth quarter, and for 2009, the average realized price for ton committed, and we have just about all of our production committed, increases by almost $10 per ton, reflecting the higher price contracts we negotiated in 2008 for 2009 delivery. This bodes well for the coal segment and the new year. Our majority-owned subsidiary, CNX Gas Corporation, had a record year in 2008, including record production of 76.6 billion cubic feet, which was 32% higher than 2007; record net income of $239 million, which was 76% higher than last year; and record cash flow from operations of $447 million, which was 65% higher than 2007. Of special note, CNX Gas achieved exploration success in the Marcellus Shale. The gas company’s first vertical well came online in July with an initial production rate of 1.3 million cubic feet per day. The first horizontal well, as noted in the release, achieved peak production of 6.5 million cubic feet per day. The year 2009 also bodes well for CNX Gas as 41.9 Bcf, about one-half of the expected 2009 production, is hedged at $9.74 per Mcf. I do not need to tell this group that the deluge in the banking system has been of ethic propositions. CONSOL’s solid balance sheet and excellent liquidity has enabled us to navigate these choppy financial waters without diminishing our earnings power. At December 31, 2008, CONSOL Energy, and now this is excluding CNX Gas, had $381 million in total liquidity, which was comprised of $137 million of cash and $244 million available for immediate use at below market focus rate. This kind of facility does not expire until 2012. Separately, as of December 31, 2008, CNX Gas Corporation had $114 million in total liquidity, which was comprised of $2 million of cash and $112 million of capacity available for immediate use also at below market rates. This credit facility does not expire until the fourth quarter of 2010. Until we have clarity in the financial markets in the world economy, we will continue to actively manage our liquidity to ensure the earnings power of CONSOL. Because of the uncertainty surrounding the US and global economies, we plan to adopt a cautious approach to capital expenditures. Thus we are offering our usual practice of issuing annual capital expenditure in coal production projections. However, we are providing production guidance for CNX Gas of 85 billion cubic feet for 2009. Our plan is to limit capital expending in the early part of the year to retain the ability to adjust the spending to prevailing economic condition. However, we expect to continue expenditures on maintaining production, efficiency projects such as the overland belt systems and longwall face extension, as well as safety items. We do expect to commit the entire authorized capital budget for coal until we have a clear understanding of the state of the economy and the demand for coal. However, coal capital expenditures will be treated as discretionary; it will be evaluated over the course of the year. Regarding CNX Gas’s capital, I expect spending to be limited to the cash we generate in this segment, but again, as tempered [ph] by any significant changes we see in the market. The causes for the absolute level of capital we ultimately spend this year, our policy will be to allocate capital to the projects generating the highest returns. The 2009 coal production target is 65 million tons and is lower than previously provided. This reflects several changes in operating plans, which include the – the company anticipates the 2009 Central Appalachia production capacity could be impaired due to delays in receiving permits for surface mine. In addition, the company estimates 2009 capacity reduction from its underground mines related to impacts on productivity from the new federal safety inspection and enforcement procedures. In the aggregate, the company estimates that the permitting and safety issues could reduce 2009 capacity by 1 million to 2 million tons. In early 2009, the company provides the operating schedule for the Buchanan Mine, running a longwall mining system two shifts per day rather than the normal three to reduce output commensurate with the general slowdown in the global production of steel. The change in operating schedule is estimated to produce normal coal production after Buchanan Mine, which typically ranges from 400,000 to 450,000 tons per month by approximately 110,000 tons per month. The Buchanan Mine produces a high quality metallurgical grade of coal. In addition, mine production will be idle for two full weeks in February. Until there is additional clarity to metallurgical coal customers regarding 2009 shipment schedule, the mine will continue to limit normal coal production and they further reduce production levels. Gas production will be impacted by this lower planned coal production at Buchanan in 2009 by approximately 2 million to 3 million cubic feet per day. Because of the current lack of clarity regarding high volatile metallurgical coal demand, we have also announced plans that place Mine 84 a long-term idle at the end of the first quarter of 2009, paying off most of the work force. The mine was scheduled to transition from production of coal with a longwall mining system, the production used in only continuous mining machines. That change would have resulted in an annual production rate of approximately 650,000 tons. Coal was intended to be sold as a high volatile metallurgical coal for blending. Let me briefly talk about the recent managerial changes affecting CONSOL Energy and CNX Gas that we announced last week. Brett Harvey, President and Chief Executive Officer of CONSOL Energy, has been appointed to the additional positions of Chairman and Chief Executive Officer of CNX Gas Corporation. Nick DeIuliis has been appointed Executive Vice President and Chief Operating Officer for CONSOL Energy. Nick will have overall responsibility for energy production, that’s for the coal and gas, focusing particularly on production efficiency and production coordination between these two jewels, while Pusateri will have overall responsibility for sales of coal and gas, and transportation services as well as the management of CO2 credits generated by these two companies. The goal of the management consolidation is to improve performance and profitability of companies, as well as the increased efficiency and reduced costs across all business areas. We expect this will create a more unified organizational structure that will have functional, operational and financial responsibility for all coal, gas and related assets while still recognizing a separate status of CNX Gas as a public company. We believe that CONSOL Energy is in an excellent position to deal with the credit and economic crisis. We are a low-cost producer of energy. We have an excellent contracted position for coal in 2009 and 2010. We have a substantial market advantage hedge position for gas in 2009. A major portion of our coal contracts are with US utilities. These plants are base-loaded. These utilities have excellent credit rating. CONSOL Energy has a strong balance sheet with no debt and substantial liquidity. We believe that companies like that will have no debt and generate substantial cash flows from operations used as [ph] growth capital will not only survive but will thrive in the coming year. Like most companies, we do not escape the sharp stock price decline in 2008. However, we believe that 2009 and 2010 will be years in which the equity markets will discriminate significantly between strong and weak companies. Those companies producing basic products, products having a dependable demand, and those companies that execute well will be recognized. We believe CONSOL Energy will be one of those companies, a company returning premium value to its shareholders. With that, Brett, we have your comments on the market as well as our performance for 2008.
Brett Harvey: Thank you, Bill. Again, let me reiterate – welcome to our CNX Gas shareholders as well as CONSOL Energy shareholders. I think Bill did a good job of describing our position. But let me give some of the broad strokes, the way I see them. Coal and gas are both in a very strong hedge position in 2009. The gas volumes continue to surge with a 32% growth from ’07 to ’08, and the ability to go 85 billion cubic feet in ’09. Coal volumes that we announced are risk adjusted. Where we see the market at this point in time, we are in a very low cost position, positioning both coal and gas, and we think the 65 million tons that we’ve predicted are doable. That’s at the contract level, and we believe our customers will take this amount of coal for 2009. The capacity for coal is greater, and as the market turns depending on what it is, we will respond to that. It’s probably greater in the short-term on the metallurgical side coming out of Buchanan, as we see the steel companies turn to a better position in terms of steel production. We are ready to take care of their needs. We will build cash throughout the year and grow the gas volumes as we see the gas price going forward. We’ll finish the projects with no new coal projects on the coal side. We have brought production back based on where we see the market, not because of lack of capital, but lack of market. No reason to push coal into a market that’s lacking in value from a shareholder perspective. Coal market overview in general, we see weak economic activities. It’s directly related to the production of steel and the production of electricity. As we see this move throughout the year, we will adjust, but we do believe the 65 million tons that we announced is very solid and have the right margins. If you look at our history on the coal side and the gas side, every year since 2007 we’ve increased our margins. On the cost side on coal, I expect us to be basically flat between ’08 and ’09. On the gas side, I expect that to be as well. We see rapid expanding margins. If you look into 2007 on the coal side, we are about $6.91 per ton; in ’08, we’re $7.69; and in 2009 we could be over $20 per ton. On the gas side, we’ve gone from 3.54 in ’07; and 2008, 4.88; and in 2009 we expect that margin to flatten out or expand based on our hedge position. The spot market for gas really is the reflector of what we are going to do between our hedge position and where gas goes. But we do intend to increase the volume on the gas side through the year to 85 Bs. With that, I’d like to just summarize again, we are a low-cost producers in both coal and gas, though in any market we are going to have the highest margins in both those products. We have no need to raise equity. In fact, we will build cash in 2009. We will be very prudent with our production and our CapEx, especially on the coal side. And on the gas side, we will continue to grow depending on where we see the spot market for gas. Cash flows will give us optionality going forward. If we see opportunities in the marketplace for acquisition on either gas or coal, we will step forward and look at those and make moves because our balance sheet is in good shape to do that. If not, we will just continue to build cash as we see the market change. I see this as more of a tactical year based on where we see the macro economy of the world and the United States, and we will respond accordingly with a very strong balance sheet. With that, I’d like to open it up for questions.
Tom Hoffman: Operator, if you could instruct our listeners on how to get into the question queue.
Operator: Thank you, sir. (Operator instructions) And the first question will come from the line of Jim Rollyson with Raymond James. And your line is open.
Jim Rollyson – Raymond James: Good morning, gentlemen.
Brett Harvey: Hi, Jim.
Jim Rollyson – Raymond James: Brett, do you – first of call, great quarter. Couple of years back, you guys spun out or sold off a piece and took publicly the gas business. And I think the methodology then was trying to enhance the valuation recognized by the market for the business because it wasn’t getting it kind of under the CONSOL umbrella at that time. And it seems kind of you’ve gone through the last 12 months or so, the moves you’ve made, it seemed to indicate that maybe you are obviously trying to bring back in or repaying that value under the CONSOL umbrella. Just – could you maybe walk through the logic of what’s changed over the last year or two since the initial move kind of getting it out there to maybe looking towards bringing it back in, and how you see that or how you think the market interprets the value of these two businesses from a combined basis versus a standalone basis?
Brett Harvey: That’s a good question. And let’s go back to when we did do it. When we spun it out, we did it with the intention of recognizing the value of that company. And it quickly went from what we thought our share price was about $1 billion and now it’s got a total market cap of over $4 billion. So that was a success. Now the question is, the real issue is, we are an energy company and we sell Btus. And they are combined with coal and they are combined with gas, but we needed to establish that value. About a year ago, the Board, on my recommendation, decided not to ever go underneath the 80% and to continue to grow the gas company within the umbrella of CONSOL Energy. So what the Board announced a year ago, we made a move to offer to make a deal with the outside shareholders. That didn’t work. We were at disparate values and we decided we would just go ahead and run the company with partners, so to speak. Well, we’ve done that and we continue to do that. We have bought some shares back based on value since then, and we’ve done some consolidation moves to make this more efficient on the managerial side and the overhead side. And we will continue to grow that – the gas company, a rapid case because we are a Btu energy delivery company. I would say that if you look – and I’ll give some color here. If you look at 2007, a very high percentage of our earnings came from the gas company. And if you look at where we are headed for 2009, if you run through the numbers, you will see a surge in the percentage of value coming from the coal side. If you look at the two years, over the 24 months, even over 36 months, you will see that the two combinations really give our shareholders surge in values in two different market cycle; one coal and one gas. But if you look at our share price and our performance on earnings, it’s pretty much covered. And it really eliminates risk and it also gives us constant value year-to-year for our shareholders. So that’s basically the (inaudible).
Jim Rollyson – Raymond James: Okay. And it kind of seems like if today at this moment in time if you back out the current value of the gas company, it suggests your coal operations and the rest of the CONSOL umbrella are trading in a pretty big discount to what they maybe should be.
Brett Harvey: Well, I could argue the other side of that, that they are just the opposite. But the point here is, we believe that the value of these companies were decoupled from their earnings capabilities, as the market has declined and people have sold shares across the board, there is a decoupling of value between cash multiples and earnings capabilities. And I think over time that will realign and it will look more like it did before we saw the crisis on the financial side. So having said that, I do agree that it’s disconnected, but I think it’s not just us. The entire market is disconnected right now.
Jim Rollyson – Raymond James: Sure. And then just one follow-up here. Some of your competitors – obviously you’ve, I’m sure, heard the reports – have had issues on the met coal side with customers either not taking some deliveries or in the case I guess this morning’s news trying to renegotiate prices on contracts that were out there and signed previously, can you maybe share what you guys have seen kind of in the market in the last 60, 90 days, and how you handle these situations?
Brett Harvey: Well, in the fourth quarter, we saw a pushback not only on contractual terms, but a real pushback even on pricing. We didn’t delivery as much coal as thought we would in the fourth quarter on the met side. The steel company really went into a freeze position. We expect to extract the value of the contracts that we have with those companies, and we expect to be in market with them on the future values as they determine where they are at in the steel business. That’s a tough negotiation because like any other deal, we expect contracts to go to the end of their value, and that’s all part of the negotiation. But if you compare the fourth quarter to this quarter, we’ve actually seen the coal start to move, and it’s moving in a positive way in the discussions there. It looked very bleak in the fourth quarter. And I think negotiations are ongoing, but we’ll hold our contractual value and we will negotiate for future values with them. The ideal thing is we are a low-cost producer in any market and our margins will be good.
Jim Rollyson – Raymond James: Great. Thank you.
Operator: Thank you. Our next question in queue that will come from the line of Shneur Gershuni with UBS. And your line is open.
Shneur Gershuni – UBS: Hi, good morning, guys.
Brett Harvey: Hi.
Shneur Gershuni – UBS: I guess I’ll start my first questions on the coal side. I was just wondering if you can sort of comment on the market in general, whether you’re seeing some of the private producers cutting back production? Also if you can comment on how many tons you expect to ship overseas, or specifically, steel tons overseas through the port facilities and how much you’ve got contracted go overseas as well too?
Brett Harvey: Well, we do see production coming out of the market, especially in Central App where the high-cost producers are having financial difficulties, and the ability to generate cash. They are living off some of the old prices, but when they get into the new marketplace, the banks are not carrying them. So we’re going to see that shut down pretty fast. On CONSOL’s basis for export, we are going to at 2.9 million tons export versus 3.6 million last year. We contracted at 2.9 million. That’s what will move. But what we’re seeing in Baltimore in general through our port is about one-third reduction in volume going out of Baltimore into the steam markets and Europe. And I think that’s reflective of the price over there. We’ve signed up a lot of our tons as domestic supplies when the price was high in Europe. And the domestic suppliers are under contract with us and we’d rather sell them at this point in time because they are right close to us and we take the advantage of the freight. So it looks pretty good right now. From that perspective, if that market heats up in the future, meaning the prices start to rise, we’ll see if we can gather up some time to go after that market. But right now, we don’t see much movement beyond the 2.9 million tons that we contracted (inaudible) that we will ship.
Shneur Gershuni – UBS: Okay. Just one follow-up question on the CapEx side, definitely applaud your decision to hold back a little bit. I was just wondering if you could sort of give us numbers or remind us what you are planning to spend on the overland belt and the longwall face extensions?
Brett Harvey: The longwall face extensions were the multi-year – or I think four or five longwalls. I don’t remember the total cap number on that, but those have been pushed out even on some of the development cycles to slow down capital spending. The number that comes to me is right around – for all the extensions were about $400 million. But I think if you call us offline, we can give you those numbers. I don’t have those right on the tip of my tongue.
Shneur Gershuni – UBS: Okay, no problem. If I can just switch to gas, the gas side for a second, I was wondering if you guys had available your reserve to production ratio and kind of where proved reserves ended up for this year?
Brett Harvey: We don’t have that number right now. When we have, we will announce it.
Shneur Gershuni – UBS: Okay. And then I guess one last final question. Given where net gas prices are currently and where they are headed, and then you sort of mentioned in the press release today that you had an intention of living within cash flow and so forth, can you sort of give us a priority of the targets of where you’d like to go? Are you going to still be looking in the shales and so forth? Are you sort of pulling back to some of your low-cost areas where you’ve had a lot of success in the past?
Brett Harvey: I think, like any other marketplace, if the price drops, you always go to your high margin spot. So we’ll probably spend capital to develop our CBM plays because there are really no dry holes and it’s 100%. We’d probably go to Virginia first, Northern App, and then to – down to Tennessee. That would be our last move. So in that order, that’s the way we would spend our capital. And as the price drops, we might even slow down in Virginia depending on where we see the demand for energy on the gas side. At this point, we think expanding volumes at very low cost moving forward, we capture the higher prices when they move with higher volumes. That’s been successful, of course, in the past, so we continue to look at it that way.
Shneur Gershuni – UBS: And how about the Marcellus Shale? Do you plan to still attract that play or –?
Brett Harvey: We will – if it continues to be very successful, yes, we will weigh that capital against spending capital in the coalbed methane areas. The nice part is we have the optionality look at the two, and (inaudible) we’ll do that.
Shneur Gershuni – UBS: Okay, great. Thank you very much.
Operator: Thank you. And our next question in queue that will come from the line of Brian Corales with SMH Capital. Please go ahead.
Brian Corales – SMH Capital: Hi, guys. I have a couple specific questions for the gas company and it’s kind of bigger picture. A strong quarter with production, can you maybe give some – what area outperformed?
Brett Harvey: I think – well, my evaluation of it, when I look at the numbers, every area met or exceeded the targets that we had for the fourth quarter as well as the year. And I would say Virginia, Northern App, and down to Tennessee.
Bill Lyons: Yes, we set records just about in every play that we have.
Brett Harvey: Right.
Brian Corales – SMH Capital: Okay. And how much takeaway capacity do you have up in the Marcellus right now?
Brett Harvey: I think that’s – I think we have the ability to take away almost anything that’s there. We haven’t contracted – we have contracts for about three years of what we think we can produce. I’m not sure exactly what the total volume is.
Brian Corales – SMH Capital: And then finally, kind of a follow-up on the first question asked in the call, kind of where do you see both companies in the next 12 to 24 months? I mean, is this something that ultimately you see just being one company? What is your thought process there?
Brett Harvey: Our intent right now is to run those both public companies as efficiently as we can. And that gives us optionality for the future. But I believe at this point in time we’re going to stay fixed to exactly where we are at. We bought shares recently on the gas side because we saw a lot of value. But right now we intend to run them as efficiently as we can as two public companies.
Brian Corales – SMH Capital: And do you continue to – plan to continue to buy shares or –?
Brett Harvey: If we see value, we will, but we do the same with our own shares at CONSOL Energy. So it depends on where they are in the marketplace as it appears [ph].
Brian Corales – SMH Capital: Okay. Thank you.
Operator: Thank you. Our next question in queue that will come from the line of Michael Dudas with Jefferies. And your line is open.
Michael Dudas – Jefferies: Good morning, gentlemen.
Brett Harvey: Hi, Mike.
Michael Dudas – Jefferies: Brett, maybe provide your perspective overall on US or even global coal markets? How oversupply do we think we are? And do you anticipate a quicker and aggressive response from some of your competitors in the marketplace as some have indicated with regard to holding the line on production? And is that going to be enough to get the market back a little bit better balanced as it moves through 2009?
Brett Harvey: Well, we see it at about 35 million to 40 million ton oversupply on the steam side. And I think the responses have been announced like anything else. It will lag a little bit, but I think I’ve been pleased with seeing the response on the steam side that we’ve seen so far on the announcement side. I think that the ability to finance operations going forward is going to accelerate the response. So – yes, I think there will be a quick response based on discipline as well as financial discipline as it goes through the back. And that will equalize the market and we’ll see some – probably in ’10, some stabilized pricing.
Michael Dudas – Jefferies: Brett, what are you instructing Bob when he was discussing with your utility customers outlooks for term contracts in the marketplace right now? Is everybody just in a holding pattern to see how the economy turns, or is there certain price deck that you can really start to negotiate with going forward as utilities get more comfortable with how the year is turning out?
Brett Harvey: We are negotiating right now a price deck that we're comfortable with for the long-term, similar to like we were last year. We have some deals on the table that we are negotiating for for long-term. That’s being evaluated by both companies and that will unfold based on where we negotiate to. But yes, we are looking at long-term deals based on – if you look at any given marketplace, depending on where the economy is, there is fluctuations. But in the long-term, remember, this business was short in terms of energy and supply. And on the low-cost production side, we are looking at margins as well. So if you combine the cycles we see on the economy with margins, we’ll find the place to enhance our shareholders position in any given market. Who knows where that demand for energy is going to go? But we’ll adjust ourselves to go forward.
Michael Dudas – Jefferies: Thanks. I appreciate your thoughts.
Operator: Thank you. Our next question in queue that will come from the line of David Khani with FBR Capital Markets. And your line is open.
Brett Harvey: Hi, Dave.
Luther Lu – FBR Capital Markets: Hi, this is Luther for David.
Brett Harvey: Hi, Luther.
Bill Lyons: Hi, Luther.
Luther Lu – FBR Capital Markets: First of all, any predictions for (inaudible)? 
Brett Harvey: Dealers [ph], of course.
Luther Lu – FBR Capital Markets: Of course, of course. Brett, I want to ask you how should we think about the 65 number. Is that a midpoint or is it the lower bound of your production for this year?
Brett Harvey: Well, as we described in the thing, the 65 is absolutely locked in contracts and is risk adjusted. Meaning, we saw some pushback on Central App. We’ve closed down some Central App production on the steam side. And the 65 puts us – moved away from the spot market totally and is contracted tons that are locked in with customers that we believe they will take steam side as well as the met side. And so that’s the breakdown that we have. So I would say that’s at the bottom. And if there is anything more than that, the market would have to open up for us.
Luther Lu – FBR Capital Markets: How should we be thinking about the 2010 production level? Is it 65 plus the Schumacher expansion or –?
Brett Harvey: I think 2010 has to unfold, I think flat for now. And if you look this – we’ve been 65 million tons for – this should be the third year at 65 million tons. ‘10 would be similar to that. What I need to reiterate here again is, even though we’re flat on these tons, we continue to expand our margins in a big way. And so we are more focused on the margin than we are at the tons. Right now, it looks like it’s flat for ’10. But – and we’ve got a pretty much hedge position for ’10 as well. So we won’t increase the market – supply into the market unless we have – we won’t increase coal into a bad market. And if we see contracts come and we sign the contracts, we’re happy with the margins, so we’ll go ahead and increase what we’re doing.
Luther Lu – FBR Capital Markets: Is the production cost this year flat? I just want to clarify that.
Brett Harvey: Yes, I see the production cost flat between ’08 and ’09.
Luther Lu – FBR Capital Markets: Okay. And what was the margin expectation again for ’09?
Brett Harvey: Well, if we keep them flat, we think the margins to be over $20 a ton.
Luther Lu – FBR Capital Markets: Okay, got you. And one last question on the export side, have you guys seen or started talk with the railroad and perhaps to get a more favorable term to better enable the export ability?
Brett Harvey: Yes. We’re talking to them all the time. And right now we’re holding the rates at where they were. And of course, we’d like to see them go down, but we’re holding it for now. And there was a push to get increases. That’s pretty much normal.
Luther Lu – FBR Capital Markets: Okay, got it. Thank you.
Brett Harvey: Okay, thank you.
Operator: Your next question in queue that will come from the line of Mark Finn with T. Rowe Price. And your line is open.
Mark Finn – T. Rowe Price: Thank you. Hey, guys.
Brett Harvey: Hi, Mark.
Mark Finn – T. Rowe Price: I have a couple things I wanted to go over. The first one is, I know you’re bringing Nick in to address some of the operational issues in the coal business – at least I’m perceiving that that’s the case. How long do you think it will take before the coal business is sort of back to running at optimal levels and you feel like all the development issues are resolved and you have the personnel in place that you feel you really want? I guess I’m just curious about the timetable for that.
Brett Harvey: Well, first of all, the consolidation was for efficiency, not just the coal piece. But Nick will add a lot to what we can do on the coal side in terms of energy and organization. And that’s for sure because he did a great job with the gas company. Keep in mind we still have both of them. So he’ll be focused on both of them. I would say on the operational side, we addressed a lot of things last year. We improved in the fourth quarter. We are putting together plans to make sure the development cycle is ahead of the longwalls going forward. And in terms of people and timing and so forth, the 65 million tons that we put into the thing, I think it’s pretty much locked in all the way through, and I would say that’s given. Anything beyond 65 will be our ability to get to development in the longwalls exactly where we want them. Remember that part of that longwall cycle was related to purchase by restrictions by MSHA. And we’re adjusting our numbers, and we did adjust our numbers for ’09 to fit that as well. So it’s a combination of all those things. So I would say by mid year, we’ll have a good solid plan to see where we’re at for the next 24 to 36 months.
Mark Finn – T. Rowe Price: Okay. There had been plans to have a CNX Gas Analyst Day. Is that still –?
Brett Harvey: Oh, yes. Yes, we are going to do that and Nick would be there for that.
Mark Finn – T. Rowe Price: And is that when we’ll probably hear about the reserves and things like that, or would we hear earlier?
Brett Harvey: It will be sometime in February, but definitely you’ll hear about it then. And if we get it sooner, we’ll announce it. But we’ll talk a lot about it when we do the analyst day.
Mark Finn – T. Rowe Price: Okay. And then the last question I have is related to that first question that was asked by Jim Rollyson. And I guess I’m curious whether or not you’ve gotten any indication from CXG shareholders. They are feeling a bit orphaned by the move that you guys made to consolidate and kind of bring you as CEO on both companies. There is – I guess there is one independent director on CXG. But I’m kind of curious about your thoughts regarding that aspect.
Brett Harvey: Well, I would say that we intend to do what we need to do to run both the companies as legal entities and be very efficient with them. I think – to comfort the other shareholders, I think nothing has really changed with the way we plan to expand that company and grow that company. I think we just become more efficient the way we're organized to do that and organize the overheads to do that. For me to be a CEO of both companies, I’ve already been there for years. I went back to that. I think it gave Nick an opportunity to tie the things together on both sides. So if it’s a matter of changing CEOs, I think we’re in good shape. I was the original CEO, the founder of the company, and I think bringing that back and bringing that into line with everything we do between the two, at the present shareholder base that we have on both sides, I think, is the optimal way of doing it.
Mark Finn – T. Rowe Price: Right. And I guess the reason I asked about coal first was because the implied value, as Jim sort of went through, if you take the market cap of the gas business and you back it out of the market cap of the entire entity, it’s sort of like – I mean, it’s kind of the elephant in the room, right? I mean, the implied EBITDA is so low that at some point it kind of begs the question that you have to unlock that. And I guess the way I’m expecting that it will get unlocked is, as coal runs much more efficiently, that will help to do that. But – and I’m not expecting an answer. I just am curious. It’s just an observation on my part. That’s all.
Brett Harvey: I think that’s a good observation. But let me reiterate that when our share price was over $100 and the market seemed normal on the banking side, I think we saw the value of both companies in our share price. And I can tell you again that there is a decoupling between the two, between the market and the value of the company in terms of earnings capability. I mean, we earned $1 billion last year and they separated anyway. So I would say that would come back in the line and I don’t think that the short-term marketplace or the financing crisis determines the value of the combination here. And again, if you look at what we’ve said about 2009 versus 2008, the percentage of earnings between the two have shifted back and forth in terms of the total pie, which creates real value for CONSOL Energy shareholders. And I think we’ll continue to watch that very closely. But I understand the market’s concern and understanding of that, but we think we’re doing this for the right reason and we’ll continue to grow CNX Gas as we always have as a very valuable company.
Mark Finn – T. Rowe Price: Thanks for taking my call.
Operator: Thank you. Our next question in queue that will come from the line of John Bridges with JP Morgan. And your line is open.
John Bridges – JP Morgan: Hi, Brett. Congratulations on the results and the strategy.
Brett Harvey: Thank you.
John Bridges – JP Morgan: You mentioned the contract situation was improving. Could you give us a little more color on that? It’s a very critical issue.
Brett Harvey: Yes. What we’re seeing – and it’s on the met side what I was referring to. The contract situation on the steam side has been solid and continues to be solid. The met side with the pushback we saw in the fourth quarter, they were – the boats weren’t being scheduled. There were discussions. The steel companies were really kind of frozen in place financially, trying the figure out what they had to deal with. The boats are showing up. And in the first quarter – and they are responding to bids as we talk about the future. So that’s the color I was trying to give. It’s not perfect, but it’s not as dire as it was in the fourth quarter.
John Bridges – JP Morgan: I’ve seen some commentary that there’s a sort of $150 gap between the consumers and the producers in terms of discussions ahead of contracts. Could you comment on that?
Brett Harvey: I would say this. The high price of met coal last year set a mark that everybody would like to have on the coal side. But I think the benchmark price, there still is the separation. But I think it’s really unknown what met prices are going to be going forward. And so there is a lot of discussion between the two parties. Coal companies would like to hold the value as high as they can. And I think steel companies, because of their nervousness about how much steel they are going to produce, would like more flexibility on that side. I think what’s important is that we all extract the value of what we have done together and decide what the future looks like. The good news for us is we’re at high margin in any market based on our low-cost production.
John Bridges – JP Morgan: Okay. Just kind of housekeeping point, the $56 million of cash – of cost write-backs, where did that go in the accounts? And would there be any spillover into this year?
Bill Lyons: Kind of like the $56 million that we did for share buybacks on the gas side?
John Bridges – JP Morgan:
$:
Bill Lyons: Oh, the $56 million, I’m sorry. Where that was, that’s in other. It’s $25 million of Black Lung Excise Tax and $31 million of interest. We got $31 million of (inaudible) interest. But again, we’re looking at $56 million in total. And the reason why we recorded it is that there was a law passed in October of 2008 that said that we can get refunds for Black Lung Excise taxes we paid in 1991 and 1993. So the event already occurred, it gave rise to the receivables. It’s with the federal government. So the last time I looked, John, I guess that's probably the best place you can have in terms of collectability and the amount is determinable. It’s not in the per-ton statement or in the – anywhere in the coal unit cost.
John Bridges – JP Morgan: Okay. And nothing coming through this year?
Brett Harvey: No.
Bill Lyons: No, it’s a one-time thing.
John Bridges – JP Morgan: Thanks, guys. Well done.
Brett Harvey: Thank you.
Operator: Thank you. And the next question in queue that will come from the line of Chad Potter with RBC Capital Markets. And your line is open.
Chad Potter – RBC Capital Markets: Thank you. Good morning.
Brett Harvey: Good morning.
Chad Potter – RBC Capital Markets: Question on CXG, on the production guidance of 85 Bcf of 2009. That implies – or I guess that works out at about 233 million a day, which is about 9 million cubic feet less than the fourth quarter. And just kind of wanted to get a handle on whether that is conservatism, if there's a possibility that's a one-time production or something that benefited the fourth quarter, or if we do expect kind of a decline through the year?
Bill Lyons: There will be an effect on Buchanan Mine as it slows down a little bit based on production. But in terms of the growth to 85 Bs, it’s directly related to the capital we have to kind of get there. If you look at the CapEx that we’ve done within our own cash flows from 76.6 to 85, it’s a pretty good growth rate. So – I’m not sure on your rates, exactly what the question was. But there will be – there is a back-off on Buchanan based on if the coal is mined at the same rate. There will be 2 million to 4 million a day of gas. But I’m not sure exactly what’s the number you’re talking about.
Chad Potter – RBC Capital Markets: The fourth quarter production average 242 million cubic feet a day, if I take the 85 Bcf for the year in 2009, that would average at 233 million a day. And so I guess it is up year-over-year, but from the fourth quarter it would imply about a 4% decline for the year.
Brett Harvey: Yes, I would just say the fourth quarter is a very strong quarter, and for it to be reproducible, every quarter is – we have a lot of drilling to do to get back at that level. Okay?
Chad Potter – RBC Capital Markets: Okay. Thank you.
Operator: Thank you. Our next question in queue that will come from the line of Brian Gamble with Simmons. And your line is open.
Brian Gamble – Simmons: Hi, good morning, guys. I wanted to go over the cost number if I may for just a minute. I know you guys mentioned cost being flat, and when you think about commodity prices coming down, that makes sense. Just wanted to get your sense as to – just some details around that. I know that pulling production down and you have to spread fixed cost over a shorter amount of times, but at the same time you’re probably pulling off some of the higher-cost out. So just maybe some details on why you think flat year-over-year is a good target.
Brett Harvey: Partially you answered your own question. So – if you look at costs, we have high-cost mines coming out of the mix, we’ve got drop in commodities, and then we have upward pressure on labor and the safety issues around MSHA. A good example of the safety issues is for Buchanan itself, we’ve made it a less risk mine by putting more seals in, but we build 100 – the year before we built 100 seals, last year we built 200 seals. And we intend to continue to seal that off in a proper way so we lower our risk. So if you’ve got upward pressure on labor and drop in commodities and higher cost comes out, we expect to be about flat. And that’s similar to ’08, ’09. Okay?
Brian Gamble – Simmons: That’s fair. The met number, if I run through the numbers on Buchanan taking off Mine 84, the monthly rate that you gave, we’re talking about a met number for the year of roughly 3.5 million tons. Does that sound about right?
Brett Harvey: That’s right, yes.
Brian Gamble – Simmons: And then maybe just a couple of housekeeping items. Tax rate for ’09, Bill, what should we be looking at there?
Bill Lyons: I think our effective tax rate that we have this year probably will be treated as an estimate for 2009. And again, you’re talking about somewhere around 33%, 34%. And the reason why that tax rate is like that is that, as we get more of our income from the gas company, we don’t have the impact of percentage completion on the income.
Brian Gamble – Simmons: And then finally just on the repurchases, I know that you’ve repurchased both CNX and CXG stock over the last six months. Brett, I think you mentioned that your thinking there was in relation to peers as to when you decide to do that, because I know if you look at just an absolute value, this $26 per share on CXG has about, if I’m not mistaken, the levels that you had bought it back during the third and fourth quarter of last year.
Brett Harvey: That’s right. That’s right.
Brian Gamble – Simmons: Okay. So you are looking at relative to the overall market and not focusing on an absolute dollar value that you think the gas business (inaudible) long-term?
Brett Harvey: Yes, that’s right. I leave that strategy up to Bill mostly, but we’re moving between the two different stock based on where we see the value.
Brian Gamble – Simmons: Are there any more synergies that you can extrapolate from kind of the recombination that’s been going on recently without bringing it back fully in-house?
Bill Lyons: I think we’re getting big chunk of what you could as if you brought it back. On the financial side, we’ve pulled about $2 million of costs out. When we originally did that, and this restructuring is probably going to give us another $1 million to $2 million. So yes, I think – you know, that’s every year. So that’s pretty valuable to us.
Brian Gamble – Simmons: Thank you, guys, very much.
Operator: Thank you. The next question in queue will come from the line of Jeremy Sussman with Natixis. And your line is open.
Jeremy Sussman – Natixis: Hi, good morning.
Brett Harvey: Good morning, Jeremy.
Jeremy Sussman – Natixis: I want to get into pricing a little bit. You signed about 6 million tons over the past quarter for ’09. Obviously I assume some of that was the met coal that you signed early on in the quarter. But could you give us a breakdown of how much of that was met, how much of that was steam, and maybe where – ballpark, where are we for steam prices these days?
Bill Lyons: On the steam prices, let’s address that first. Steam prices were not actually negotiated in any spot deals on the steam side. What we did on the steam side in that was between $78 and $85 a ton during that timeframe that you mentioned. Right now on the steam side, you can see the spot price is down around the mid-60s. Those are in places where we’re selling any coal. So it’s like kind of at the top of the market, it’s very thin, and at the bottom of the market, it’s very thin. So we’re negotiating long-term and short-term deals going forward. If there are long-term deals, they are certainly not in the 60s, because we wouldn’t sell high Btu coal on Northern App, especially below the marginal costs of production in Central App. So that’s kind of where we are at. So what we did signed – to answer your question, between $78 and $85, yes.
Jeremy Sussman – Natixis: And marginal cost at Central App being at least $70?
Bill Lyons: At least $70, yes. And on the met side, it’s at least $80, I’d say.
Jeremy Sussman – Natixis: Right. And just a clarification. You are committed in price tons that you have, for example, in 2010, now the 30.4 million tons at $49.22, does that include – does that price include the 8 million tons of your cap to coal?
Bill Lyons: Yes.
Jeremy Sussman – Natixis: So that includes the caps in there?
Bill Lyons: Yes.
Jeremy Sussman – Natixis: Okay.
Bill Lyons: Oh, no, it doesn’t. Now as I’m looking at the numbers, it’s really at – if you add the 8, it’s get to 51.30.
Jeremy Sussman – Natixis: Okay, right. Because in the past I know I think you've broken it out a little differently. Okay. That's helpful. Great. Thank you very much.
Tom Hoffman: Operator, we have time for about one more question.
Operator: Okay, sir. And that line – the question comes from the line of Paul Forward with Stifel Nicolaus. Please go ahead.
Bill Lyons: Hi, Paul.
Brett Harvey: Hi, Paul.
Paul Forward – Stifel Nicolaus: Hi, good morning. On the 2009 average pricing, you’re at 61.56 per ton. When we look at 2010, you’ve got a few items, old contracts rolling off. You've got a price deck that you have in mind for the coal. You haven’t sold yet. We’ve got a weak economy. At first glance, would you expectation be that in 2010 that average number would go flat, up or down from there?
Bill Lyons: Actually, right now, the way I’m looking at it, we’d go up somewhat, because we have about 85% of – let’s assume we stay at 65 million. I would say 85% of that 65 million would already be sold, of which 17 million needs to be repriced. If you look at that being repriced against the spot market right now on the revenue side, I think we’re going to be pretty much equal to ’09. So if you look at us, we’re in a good hedge position on both years, but we do need to reprice at 17 million. And plus, at 4 million tons of met coal would be repriced in ’10. So there is an upside that – if you look at our position, there is not as much exposure to the downside as there is on the upside for ’10.
Paul Forward – Stifel Nicolaus: Great. And thinking about downside again, on the $61.56 average price of 2009, to what extent could you evaluate the possible list to that number just if steel stays weak all year and you do have some customers either deferring or they are attempting to renegotiate? How able would they be to do that? And is there any kind of risk that you see to that already priced position in ’09?
Brett Harvey: I think it’s been risk adjusted. We expect to retain the value we have in these contracts, but I think it’s already been risk adjusted at the 65 million. And on the met side, keep in mind that we only look at about 3.1 million tons in ’09 of being produced. That’s a pretty pessimistic look, especially when you are looking at Buchanan, which is really the base of all met coal coming out of the United States. So, does it go below there? I think the problem is a lot bigger. I wouldn’t say there was a lot of risk below that. And we are starting to see the boat come in to kind of match that 3.1 level.
Paul Forward – Stifel Nicolaus: Okay. Lastly, on the acquisition side of things, how active are you at trying to take advantage of this downturn to try to pick up properties here or there? And are there any areas that you are particularly interested in?
Brett Harvey: Well, we’re keeping our powder dry, and we’re building us a great balance sheet to take advantage of acquisitions. When we look at areas, we look at areas where we’ve already identified or either close to operations that we have, or there is some real synergy between combining assets or low-cost position in other regions. We would be interested in that. I don’t want to be that specific, but we are looking around. We continue to look around. And I really want to emphasize, we look in both coal and gas. We don’t just look at coal. So we’re looking for opportunities to go in both directions. We see in the short-term some – the growth in the gas business to be pretty dramatic based on just the way the government pushes against the different commodities. And so the gas and the coal side look very interesting to us, both of them do.
Paul Forward – Stifel Nicolaus: Okay. Thanks a lot.
Bill Lyons: I’d like to thank everybody for joining us today. Dan Zajdel with CNX Gas and Chuck Mazur with CONSOL Energy would be available to investors throughout the day if you’ve got additional questions. And I will available for reporters who may have questions as a follow-up for the conference call. With that, again, thank you for joining us. And operator, if you would instruct our listeners on replay information?
Operator: Thank you, sir. Ladies and gentlemen, this conference will be available for replay after 12 PM Eastern Time today through February 5, 2009 at midnight. You may access the AT&T Teleconference replay system at anytime by dialing 1-800-475-6701 using the access code of 982693. Again that telephone number is 800-475-6701 using the access code of 982693. That does conclude our call for today. We thank you for your participation. You may now disconnect.